Operator: Good morning ladies and gentlemen and welcome to the Genco Shipping & Trading Limited Second Quarter 2016 Earnings Conference Call and Presentation. Before we begin, please note that there will be a slide presentation accompanying today’s conference call. That presentation can be obtained from Genco’s website at www.gencoshipping.com. To inform everyone, today’s conference is being recorded and is now being webcast at the Company’s website www.gencoshipping.com. We will conduct a question-and-answer session after the open remarks. Instructions will be follow at that time. A replay of the conference will be accessible anytime during the next two weeks by dialing 888-203-1112 or 719-457-0820 and entering passcode #8882941. At this time, I will turn the conference over to the company. Please go ahead.
Peter Georgiopoulos: Good morning. Before we begin our presentation, I note that in this conference call, we will be making certain forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements use words such as anticipate, budget, estimate, expects, projects, intend, plan, believe and other words and terms of similar meaning in connection with a discussion of potential future events, circumstances or future operating or financial performance. These forward-looking statements are based on management’s current expectations and observations. For a discussion of factors that could cause results to differ. Please see the company’s press release that was issued yesterday, the materials relating to this call posted on the company’s website and the company’s filings with the Securities and Exchange Commission, including, without limitation, the company’s Annual Report on Form 10-K for the year ended December 31, 2015, and the Company’s reports subsequently filed with the SEC. At this time, I would like to introduce John Wobensmith, President of Genco Shipping & Trading Limited.
John Wobensmith: Good morning. Welcome to Genco’s second quarter 2016 conference call. With me today is our Chairman, Peter Georgiopoulos; and our Chief Financial Officer, Apostolos Zafolias. As outlined on Slide 3 of the presentation, I will begin today’s call by reviewing our second quarter highlights. We will then discuss our financial results for the quarter and the industry’s current fundamentals and then open up the call for questions. Moving to Slide 5, we review Genco’s second quarter highlights. During the second quarter, we recorded a net loss of $110.7 million, or $15.32 basic and diluted loss per share, which includes $70.3 million of non-cash impairment charges. While freight rates have improved from the loss experience in the first, the drybulk market has remained challenging during the first half of 2016. In terms of our cash position as of June 30, 2016, we had $76.5 million, including restricted cash. During the second quarter, we entered into commitment later for a $400 million senior secured loan facility with the goal strengthening our balance sheet and better position in the company to operate in a challenging drybulk environment. The proposed $400 million facility which is subject to certain conditions including the completion of $125 million capital raise is intended to enable Genco refinance most of the companies credit facility on more favorable terms. Specifically the new facility includes a repayment structure with no significant amortization payments for 2.5 years, the elimination of collateral maintenance cost through the first half of 2018 and a reduction of the minimum liquidity requirement. As we indicated on the first quarter call, we took advantage of an improved freight rate environment during the month of April to opportunistically fix three of our Capesize vessel the Genco Augustus, Genco Constantine and Baltic Bear on fixed rate time charters for approximately one year. The Genco Augustus and the Genco Constantine are fixed at rates of $7,800 per day, while the Baltic Bears fixed at a rate of $7,000 per day. Based on the improvement in the BDI in July which reach the highest levels as last October. We opportunistically fixed a fourth Capesize vessel the Genco Titus at a rate of $8,000 per day for a period of five to seven months. Moving to Slide 6, we provide an overview of our fleet. With a diverse and model fleet, Genco continues to effectively serve leading customers and meet the drybulk transportation needs. Genco’s fleet consists of 69 drybulk vessels made up of 13 Capesize, eight Panamax, four Ultramax, 21 Supramax, six Handymax, and 18 Handysize vessels with a total carrying capacity of approximately 5.1 million deadweight tons. At this time, I would like to turn the call over to Apostolos.
Apostolos Zafolias: Thank you John. Turning to Slide 8, our financial results are presented. For the second quarter and six-months period ended June 30, 2016, the company generated revenues of $31.9 million, versus $52.8 million respectively, this compared with revenues for the second quarter of 2015 and the six-months ended June 30, 2015 of $34.6 million and $69 million respectively. The decrease in revenues is primarily due to lower spot market rates achieved by the majority of the vessels in our fleet, during the first half of 2016 versus the same period last year, marginally offset by the increase in the size of our fleet following the delivery of two Ultramax newbuilding vessels. For the second quarter of 2016, the company recorded a net loss of $110.7 million, or $15.32 basic and diluted loss per share, excluding $70.3 million of non-cash impairment charges basic and diluted loss was $40.4 million or $5.59 per share. Basic and diluted net loss share for both rates have been adjusted for the 1% reverse stocks played of Genco's common stock affected on July 7, 2016. Turning to Slide 9, we present key balance sheet items as of June 30, 2016. Our cash position including restricted cash with $76.5 million as of June 30, 2016. Our total assets were $1.5 billion, which consisted primarily of the vessels in our fleet and cash. Our total debt outstanding excluding $8.4 million of unamortized debt issuance costs was $561.7 million as of June 30, 2016. As a reminder, during the first quarter of 2016, the company adopted recent accounting guidance, which requires debt issuance cost related to term loan facilities to be presented on the balance sheet as a direct reduction from the debt liability, rather than as a deferred financing cost asset. As John mentioned, the Company entered into a commitment letter for a $400 million credit facility, which is intended to address the company's liquidity and cover the compliance issues and to refinance the majority of its credit facilities on more favorable terms. The facility that would be requirement for the new $400 million credit facility include the company's existing $100 million term loan facility, $253 million term loan facility, $148 million credit facility, the $22 million term loan facility, the $44 million term loan facility and the 2015 revolving credit facility. Under the amended commitment, the participating lenders have provided us with temporary relief for a collateral maintenance, maximum leverage and certain liquidity related covenants through September 30, 2016. Additionally, we have obtained collateral maintenance waivers under the 2014 term loan facilities through September 30, 2016. As also previously announced, the company entered into a commitment for certain amendments to its $98 million credit facility. This commitment letter also provided us with temporary relief for our collateral maintenance, maximum leverage and certain liquidity related covenants through September 30, 2016. Moving Slide 10, our utilization rate was 99.4% for the second quarter of 2016. Our TCE for the second quarter was $4,618 per vessel per day. This compares to $5,065 per vessel per day recorded in the second quarter of 2015. The decrease in TCE was primarily due to lower spot rates achieved by the vessels in our fleet during the second quarter of this year versus the second quarter of 2015. For the second quarter of 2016, our daily vessel operating expenses were $4,511 per vessel per day, versus $4,836 per vessel per day for the second quarter of 2015. Daily vessel operating expenses for the six-months ended June 30, 2016 were $4,542 per vessel per day versus $4,762 per vessel per day for the six-months ended in the prior year period. The decrease was primarily due to lower expenses related to maintenance as well as crewing and insurance. We believe daily vessel operating expenses are best resort for comparative purposes over a 12 months period in order to take into accounts all of the expenses that each vessel in our fleet will incur over a full-year of operations. Based on estimates provided by our technical managers and management's views our daily vessel operating expense budget for 2016 is $4,820 per vessel per day on a weighted average basis for the entire year. I will now turn the call back over to John to discuss the industry fundamentals.
John Wobensmith: Thank you, Apostolos. I will begin with Slide 12, which represents the Baltic Dry Index. During the second quarter, the DBI rebounded from the all time low of 290 registered in February. Positive momentum had started to materialized at the end of the first quarter and carryover into April as the BDI cross the BDI crossed the 700 points threshold for the first time since November of 2015 before ending June at 660. Turning to Slide 13, we outlined some of the market developments influencing recent freight rate volatility. After very seasonal factors that affected the drybulk market during the first three months of the year subsided, freight rates were able to find some support. We believe the relative rate improvement was due to the following factors. The pickup in Chinese steel production since March, the stabilization and partial return in the Chinese cost rates so far this year after large declines witnessed during 2014 and 2015, the strong South American grain season and annualized fleet growth of only 1.7% through the first half of 2016, the slowest pace since 1999. The rise of Chinese steel output has resulted in automated demand for both iron ore and coal cargoes. To the first six-months of 2016, Chinese iron ore imports rose by 9% year-on-year, during five of the first six-months of this year China's iron ore imports have exceeded 80 million tons. These high import totals have driven up iron ore import inventory, which currently stand at a 108.6 million ton or 37% greater year-on-year. Shipments to China have also been aided by augmented volumes out of Australia and Brazil, Australia's iron ore exports through May have increased by 6% year-on-year helped by the ramp up of the Roy Hill project, which went fully operational is expected to have a capacity of up to 55 million tons per annum. Furthermore, we have Rio Tinto and BHPs stated that minimum weather related issues during the second quarter enabled strong production run rates, along with firm shipments from Australia, Brazilian iron ore exports are up 6% through the first half of 2016, but still remain below the pace recorded at the end of 2015 as is seasonally the case. Turning to Slide 14, we highlight global steel production. After a 6% year-on-year declines in February, Chinese steel output reverse course from March to June, running at a record annualized pace during that period, a combination of low steel inventory and stronger construction activity has helped to improve profit margins at China's steel mills resulting in rising productions. Although the prices of steel in China has declined from the high it reached in April, the prices rebounded over the past month and still remains approximately 40% greater since the start of the year. This development has incentivized production and has brought previously idled capacity back on line. In respect of the year-on -year increases, in each of the past four months, Chinese steel output through June remains 1.1% less than the first six-months of 2015. Furthermore, China's steel exports rose in June to 10.9 million ton, the second highest monthly total on record despite perfectionist actions taken by various countries to reduce their import of inexpensive Chinese deal. Moving to Slide 15, we note that an increased level of steel production has aided demand for coking coal shipments to China; this has been partially responsible for the 8% year-on -year rise as China's coal import through June. China's coal imports have also been assisted by measures taken by the Chinese government, which has cut working days for domestic coal mines from 330 to 276 days. This has resulted in a decline of domestic coal production in the year-to-date, which is down approximately 11% year-on-year. This reduction of coal availability has resulted from production cuts and low coal power plant inventory; this is why coal prices in China the increase resulting in elevated levels of imports over the last several months. Specifically, in June China imported $21.8 million tons of coal representing the highest monthly total since December of 2014. With regard to India, coal import growth over the past several months has subsided due to substantial coal stockpiles in Indian power plants together with increased domestic coal production. Even with the rise in production, coal power plant inventories have fallen from record highs of near 40 million tons to approximately 31 million tons currently. Encouragingly India's electricity production growth through the first seven months of the year has risen by approximately 8% year-on-year greater than the 4% growth rate registered in all of 2015. On Slide 16 and Slide 17, we outline current supply side fundamentals. Newbuilding deliveries have increased by 5% year-on-year through the first six-months of 2016. The drybulk fleet has grown by 0.9% in the year-to-date after taking into account scrapping of older tonnage. June deliveries were higher than the previous two months while vessel demolition activity eased, as scrap prices came under pressure partly due to the Ramadan holiday and the monsoon season. This led to increased fleet growth for the month of June after minimal growth materialized from February to May. Capesize and Panamax vessels has been the most prevalent scrapping candidate so far in 2016, representing 75% of the 22.9 million deadweight tons demolished in the year-to-date. Younger vessels are also being scrapped when compared to previous years. The average demolition age has fallen significantly from 27 years, as recently as 2014 to 23 years so far in 2016. This has been highlighted by Capesize and Panamax vessels, which have an average demolition age of 21 and 20 years respectively. Specifically seven Capesizes built in the early 2000s has been scrapped so far this year. Given current market conditions and aside from the 30 Valemax orders, contracting activity has been almost non-existent. The lack of ordering has pushed the order book, as a percentage of the worldwide fleet down to 14% the lowest point since 2003. Regardless of the decline in the overall order book, there is still a high amount of tonnage scheduled for delivery in 2016 as 47% of the order book or approximately 52.6 million deadweight ton remains scheduled for this year. Of this amount, it still remains to be seen how much we will actually deliver considering that the slippage rate through June was approximately 50%. In conclusion, in regard to the industry’s current supply side fundamentals, we believe scrapping, slippage, and cancellations, or additional conversions in newbuilding contracts are all essential components of reducing supply growth which could lead to a more balanced supply and demand equation going forward. This concludes our presentation and we would now be happy to take your questions.
Operator: [Operator Instructions] And we’ll go ahead and take our first question from Doug Mavrinac with Jefferies. Your line is open.
Doug Mavrinac: Great. Thank you, operator. Good morning, guys. I just had a few follow-ups for you with the first couple being more industry related. John in your presentation you highlighted a lot of interesting industry data points and as we know and as we saw in your presentation, the iron ore trade has seemingly held up pretty well here over the last couple of years during the timeframe where the BDI really came under pressure. And when you look at the coal trade, it seems like that was a big part of the problem it pertains to drybulk shipping demand growth over the last couple of years. My question is on the coal trade, you highlighted some of the measures that the Chinese were taken to reduce domestic production and when you look at what their domestic production totals are versus what their import totals are. How big of deal is that, I mean do you think that that could be a potential game changer as it pertains to one of the bigger sectors within the drybulk shipping demand function that has been a big hindrance for drybulk shipping demand?
John Wobensmith: Yes, I mean look if the Chinese government continue to not only cut back the number of days that each of these mines are able to work. But also closing additional mines and consolidating that industry and it does push the price of coal up in China, it certainly will incentivize imports. I think what everybody needs to keep in mind is that the import side of equation is such a small piece of the overall coal consumption in China so that it has plenty of room to move upwards and benefit drybulk shipping without really kicking the balance or putting any pressure on the domestic coal side. So I do think there is room for a recovery, whether we see levels of what we saw in 2013 and early 2014, I think that remains the [indiscernible].
Doug Mavrinac: Got you, very helpful. And then second, switching gears a little bit but still staying witin the industry. Looking at the supply side of the equation, when you look at the degree of scrapings that we have seen and look at the number of ships that are still over 20-year of age and you compare it with what has been delivered and what is expected to be delivered. What are your expectations in terms of fleet grow through year-end and then maybe 2017? And is it possible that the fleet could even contract in size next year when you couple those two dynamics, the slowing fleet growth and the level of scrapping that you may not expect to see?
John Wobensmith: Look, the scrapping is the big part of this, right. The slippage, I still think we will continue in that 40% to 50% range, and I still think there are quite a few - I think there are a lot of ships that just going to be out right cancel that either it happen and we haven't heard about yet or simply won't come to market. On the scrapping side, look, I mean it's a supply and demand function, I mean we defiantly saw scrapping subside over the last few months, I think a lot of that is seasonality. I think a lot of that is the fact that the price of scrap came down pretty quickly and pretty significantly. We've now seen a recovery on the scrap side, I think I saw a Capezie scrap last week at $280 per ton, which is a good recovery off of sort of the $250 range of what we saw may be a month ago. So I do think you are going to see increased scrapping as we go into the third and fourth quarter of this year and that’s what this all depends on. I think you are at an annualized rate right now of about 1.7%, it’s always tough to predict these things, but a 2% growth rate this year 2.5% fleet growth this year is possible. And then going into next year, you know again I'm not sure if you are going now say see negatively fleet growth next year, but in certain sectors like the Capezie mainly the Panamax you could see negative fleet growth we are describing.
Doug Mavrinac: Got you, it’s very helpful and then final question which I don't know if you can answer, but as it pertains to kind of some of your strategic options. Obviously you guys have done a lot of work on the refinancing side and it looks like there is couple of things that have to get done over the next couple of months. Is it pertains to some of the say big picture options that you have at your disposal, can you may be list a couple that you think that you could pursue to satisfy some of those options like I said if you can't answer it I understand?
John Wobensmith: Yes I mean look Doug, it's well known that a condition perhaps putting that $400 million facility in place is to raise a $125 million of capital. Other than that, it’s not something that I can comment on.
Doug Mavrinac: Right I figured it. All right well thank you for the time John and your answers were very helpful.
John Wobensmith: Okay. Thanks Doug.
Operator: [Operator Instructions] We will go ahead and take our next question from Magnus Fyhr with Seaport Global. Your line is open.
Magnus Fyhr: Thank you. Just a question, on I mean you have done a good job in trying to cut expenses here and provided some good guidance for the second half of the year. Is there anything more you can do, vessel operating expense is now under 5,000, is there more room there is that pretty conservative guidance?
John Wobensmith: Yes I think Magnus, for the first half of the year we have been running at around $4,500 to $4,500 a day versus our budget, which is approximately $4,800 for the fleet wide on a weighted average basis. I think there are some smaller tweaks that we are working on right now to bring them down a little bit more. But I wouldn’t expect leaps and downs at this point. So yes, I mean it’s getting to be a pretty efficient operation and as I have probably said in the past we did a lot of benchmarking here in not just overall OpEx but in categories. And it’s very helpful for us to drive those down, but I think we are getting to the point where most of the efficiencies have been tweaked out and you want to obviously concentrate on making sure that you are still operating your ships in the safe manner and that you are maintaining them to a high level of standard. Because you want to keep your right ship ratings at five and we have 97% of the fleet at a five rate ship rating, which is very helpful when we are chartering our ships.
Magnus Fyhr: Okay. What about dry docking you provided some guidance there for the second half of the year. I think for 2017, the most recent guidance was 18 vessels costing about $15 million. Any more visibility on the 2017 dry docking program?
John Wobensmith: Yes, not other than the budget numbers that are out there right now.
Magnus Fyhr: Okay. That’s all I had. Thanks.
John Wobensmith: Okay. Thank you, Magnus.
Operator: And at this time there are no more questions. That concludes the Genco Shipping conference call. Thank you and have a nice day.